Operator: Good day, ladies and gentlemen, and welcome to The Clorox Company Fourth Quarter and Fiscal Year 2015 Earnings Release Conference Call. At this time, all participants are in a listen-only mode. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. As a reminder, this call is being recorded. I would now like to introduce your host for today's conference, Mr. Steve Austenfeld, Vice President of Investor Relations for The Clorox Company. Mr. Austenfeld, you may begin your conference.
Steven Austenfeld - Vice President-Investor Relations: Great. Thanks, Stephanie. Welcome, everyone, and thank you for joining Clorox's fourth quarter conference call. On the call with me today are Benno Dorer, Clorox's CEO, and Steve Robb, our Chief Financial Officer. We're broadcasting this call over the Internet and a replay of the call will be available for seven days at our website, thecloroxcompany.com. Let me remind you that on today's call we will refer to certain non-GAAP financial measures including, but not limited to, free cash flow, EBIT margin, debt-to-EBITDA, and economic profit. Management believes that providing insights on these measures enables investors to better understand and analyze our ongoing results of operations. Reconciliation with the most directly comparable financial measures determined in accordance with GAAP can be found in today's press release, this webcast's prepared remarks or supplemental information available in the Financial Results area of our website, as well as in our filings with the SEC. In particular, it may be helpful to refer to tables located at the end of today's earnings release. Please recognize that today's discussion contains forward-looking statements. Actual results or outcomes could differ materially from management's expectations and plans. Please review our most recent 10-K filing with the SEC and our other SEC filings for a description of important factors that could cause results or outcomes to differ materially from management's expectations and plans. The company undertakes no obligation to publicly update or revise any forward-looking statements. Turning to our commentary, there are three key messages we'd like you to take away from today's call. First, we're very pleased with our Q4 and fiscal year 2015 performance, reflecting our efforts to accelerate growth and to do so profitably. Second, our base is as healthy as it has been in recent memory and we're investing behind our business. At the same time, there are a few factors we anticipate will somewhat moderate fiscal year 2016 growth in comparison to fiscal year 2015. And third, we believe our outlook for fiscal year 2016 presents a balanced view that appropriately accounts for current strengths, opportunities, and a few challenges. With that, I'll cover highlights of our fourth quarter business performance by segment. Steve Robb will then address our fourth quarter and full year financial results as well as our financial outlook for fiscal year 2016. And finally, Benno will close with his perspective on the business followed by Q&A. In Q4, sales grew 4% driven by volume growth of 3% and the benefit of price increases, partially offset by 2 points of negative foreign currency. All major currencies were down double-digits due to the strong U.S. dollar with the Argentine peso having the greatest impact. On a currency neutral basis, fourth quarter sales grew 6%. For the fiscal year, volume grew 2% while sales climbed 3%. And on a currency neutral basis, full year sales increased 5 points, reflecting solid growth in the U.S. behind improving category growth rates and 3 percentage points of growth from innovation, as well as growth in international, excluding foreign currency headwinds, behind price increases and higher shipments. This is the fourth consecutive fiscal year we've delivered 3 points of growth from innovation. Driving improved category trends and market shares has been a top priority for us. And in Q4, our U.S. market share has increased 0.3 of a point versus the year-ago quarter, our largest market share gain in four years. Six of our eight U.S. business units increased market share versus the year-ago quarter with Laundry, Home Care, and Charcoal achieving the greatest gains. And our categories grew 2.8% during the quarter, the strongest rate in several years. With that, I'll review our fourth quarter results by segment. In our Cleaning segment, Q4 volume grew 7% and sales increased 9% with the sales up strongly in each business unit. Home Care, our largest domestic business unit, was supported by double-digit growth of Clorox disinfecting wipes driven by increased investment in demand building including high levels of quality merchandising support, highlighting the value of Clorox wipes versus competitors' products. By fiscal year end, Home Care had achieved 14 consecutive months of market share gains. Laundry sales increased mid-single-digits driven by our February 2015 price increase on Clorox liquid bleach. And in June, just a few months ago, we introduced Clorox bleach crystals and solid packs. These non-liquid products provide the power of Clorox bleach in a convenient form for consumers with no spilling or splashing. Overall, our bleach share for the quarter was flat with gains on Clorox Splash-Less Bleach, offset by declines on a regular incentive bleach products. Splash-Less Bleach is the fastest-growing part of the bleach category and Clorox's share in this premium segment is seven times that of combined private label offerings. Finally, strong volume and sales gains on our Professional Products business were driven by higher shipments of our base healthcare products as well as professional cleaning and food products. In our Household segment, fourth quarter volume increased 2% and sales grew 4%, driven by high-single-digit volume gains in our Bags and Wraps business. Premium trash bags continued to be a real contributor, behind innovation on our OdorShield lineup, and new Gain scented trash bags that have had strong early success. These innovations supporting consumers' desire for value-added trash bags as well as price increases taken last calendar year, helped drive higher sales and a meaningful market share gain in the quarter. Turning to Cat Litter, volume increased slightly driven by our Fresh Step brand while sales and market share declined as a result of continued competitive pressure. We've been investing more aggressively to communicate our excellent clumping and odor control benefit, and to bring innovation to market. Fresh Step Lightweight Extreme launched in August of last year continues to grow behind its promise to eliminate odor for 10 days, and a money back guarantee. Our Charcoal business, volume and sales declined slightly following very strong double-digit growth in the prior quarter. Looking into combined quarters, Q3 and Q4 delivered all-time record shipments on Charcoal and our business realized strong share gains in Q4. That said, we're now lapping another double-digit quarter from a year ago, as we anticipate shipment declines in Charcoal in the first quarter of fiscal year 2016. In our Lifestyle segment, volume and sales were flat as strong mid-single-digit volume and sales gains in Burt's Bees were offset by slight volume declines in our Brita and Food businesses. Gains in Burt's Bees were driven by the renewal face care line introduced a year ago and ongoing strength in facial towelettes. Turning to International, volume was up 2% and sales were flat, reflecting the impact of unfavorable foreign currency exchange rates. Excluding the impact of foreign currencies, sales for International grew 11%. In the quarter, International grew overall share with strong gains in bleach, surface cleaners, and cleaning utensils. Now I'll turn it over to Steve Robb to provide more detail on our fiscal year 2015 performance and our outlook for fiscal year 2016.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Thanks, Steve. And welcome, everyone. We delivered strong results for the fourth quarter and fiscal 2015 with our domestic businesses delivering fiscal year sales growth at the upper-end of our long-term U.S. target of 2% to 3%. In addition, International delivered strong sales increases on a currency neutral basis behind higher volume and well executed price increases to mitigate inflationary pressures. Importantly, the strength of our total company results led to a record year of free cash flow reflecting solid top line growth and margin expansion in fiscal 2015. Now we'll turn to our financial results for the quarter. In our fourth quarter, sales grew 4% with volume and pricing contributing a combined impact of nearly 6 points partially offset by 2 points of unfavorable foreign exchange rates. Gross margin for the quarter increased 270 basis points to 45.6%, reflecting 160 basis points of cost savings, 110 basis points of pricing benefit, and 100 basis points from favorable commodity costs. These factors were partially offset by 80 basis points of higher manufacturing and logistics costs. Selling and administrative expenses as a percentage of sales increased 2 points to 14.2% primarily from higher performance-based incentive costs consistent with our pay-for-performance philosophy. This compares to an unusually low 12.2% of sales in the year-ago period when incentive costs were lower due to the company's results falling below target. As a reminder, the largest impact from the higher incentive costs is reflected in selling and administrative expenses, but it's also included in higher cost of goods sold and research and development expenses. Advertising investment for the quarter was close to 10% of sales, reflecting support for our domestic brands and categories at nearly 11% of U.S. sales, partially offset by reduced spending in economically challenged international markets. Importantly, we were pleased to see that our brand investments are paying off and strong category growth with increases in six out of eight U.S. categories. Net of all of these factors, we delivered diluted earnings per share from continuing operations of $1.44, an 11% increase versus the year-ago quarter, driven largely by strong sales growth and margin expansion. In addition, the sale of real estate assets by low income housing partnership contributed a one-time benefit of about $0.06 to diluted earnings per share. Now we'll turn to our results for the full fiscal year. Sales grew nearly 3% with volume and pricing each contributing a little more than 2 points, partially offset by more than 2 points of foreign currency declines. On a currency neutral basis, sales grew 5%. Gross margin for the fiscal year increased 90 basis points to 43.6% compared to 42.7% in fiscal year 2014, driven primarily by 140 basis points of cost savings and 110 basis points of pricing. These factors were partially offset by 110 basis points of higher manufacturing and logistics costs. Selling and administrative expenses as a percentage of sales increased 0.5 point to 14.1%, primarily from higher year-over-year incentive costs. Overall expenses were in line with our expectations for fiscal year 2015 and consistent with our long-term target of about 14% of sales. Advertising spending for the fiscal year was more than 9% of sales, with domestic spending at about 10% of U.S. sales. For the fiscal year, our effective tax rate on earnings from continuing operations was 34.2% versus 34.6% in the year-ago period. Net of all of these factors, our fiscal year diluted earnings per share from continuing operations was $4.57 compared with $4.39 in the year-ago period, an increase of 4%. Fiscal year 2015 free cash flow was $733 million compared with $649 in the year-ago period, an increase of 13%, and this is the highest level we've delivered in more than 10 years. As we mentioned in the press release, we've repurchased about 4 million shares of our common stock at a cost of about $434 million in fiscal year 2015, to offset stock option dilution. We also increased our dividend by 4% in the fourth quarter. At the end of fiscal year 2015, our debt to EBITDA ratio was 1.8, below our target range of 2 to 2.5. Now, I'll turn to our fiscal year 2016 outlook. As we mentioned in our press release, we anticipate sales growth in the range of flat to 1%, which takes into account several factors. First, we feel really good about the progress we're making in our U.S. business. We're also confident in the strength of our innovation program, which we anticipate delivering about 3 points of incremental sales growth. Second, we plan to increase trade promotion spending to support our brands, including managing price gaps following the two price increases on Glad trash and bleach taken in the last 18 months. And third, we anticipate fiscal year sales to be negatively impacted by several factors in international, including continued slowing of international economies and about 3 points of foreign currency declines, of which about half is anticipated from a significant devaluation of Argentina's currency. In addition, we plan to reduce our international demand-building investments in economically challenged markets, which will also impact sales growth. Turning to margin, we anticipate gross margin to be about flat for the fiscal year, as the benefit of cost savings, pricing, and somewhat lower commodity costs are expected to be offset by inflation impacting manufacturing and logistics costs. Other moderating factors include higher trade spending and foreign currency declines. As a reminder, declining foreign currencies negatively impact both our top line results and margins, particularly in markets where we pay for input costs in U.S. dollars. We do anticipate selling and administrative expenses to be slightly below 14% of sales in fiscal year 2016. We also expect EBIT margin expansion in the range of 25 basis points to 50 basis points, reflecting flat gross margins and lower selling and administrative costs. We project our fiscal year 2016 tax rate on earnings from continuing operations to be between 34% and 35%. Net of all of these factors, we anticipate our fiscal year 2016 outlook for diluted earnings per share from continuing operations to be in the range of $4.68 to $4.83. In closing, I feel really good about the strong finish to the fiscal year. Incremental investments behind our brands are paying off in category growth and market share gains across several brands. In addition, our team drove operational efficiencies, resulting in another year of strong cost savings, allowing us to expand our margins. In fiscal 2016, we expect to face continued headwinds, particularly in our International business. However, we've managed through these challenges before, and I'm confident in the plans we have in place, including leaning into our pipeline of cost savings programs. Importantly, we remain committed to using our strong cash flow to invest in driving growth and return excess cash to our stockholders. With that, I will turn it over to Benno.
Benno O. Dorer - Chief Executive Officer & Director: Thanks, Steve. Good morning and good afternoon, everyone. As Steve Austenfeld noted when he opened the call, there are three key messages we have for you today. First, I feel particularly good about our Q4 and fiscal year 2015 performance, in the face of a challenging economic environment, Clorox people have really stepped up to drive results. We're accelerating growth and we're doing so profitably as evident in the strong top and bottom line results we reported today. And as Steve Robb noted, in fiscal year 2015, we generated the highest level of free cash flow in more than 10 years. Our increased demand-building investments are paying off in category growth and market share gains with Q4 market share growth the highest it has been in four years from strong contributions across most of the portfolio. And we're making good progress against our Strategy 2020 accelerators. I believe that they will continue to create value to drive profitable growth in the years to come. Two standout examples from fiscal year 2015 of how we're accelerating portfolio momentum, our e-commerce and U.S. Burt's Bees businesses where we stepped up our investments to drive strong double-digit sales gains. Second, our outlook reflects a very healthy base business, but also the reality of an increasingly difficult international environment. As you think about our fiscal year 2016 outlook, please consider the following. Our strategic choices are working for us in the marketplace and we feel very good about our U.S. business, which is fundamentally very healthy. And at the same time, in our International business, foreign exchange headwinds are strong across all major currencies with recent double-digit exchange rate declines and international economies are slowing. In response, we've made the conscious decision to reduce spending across much of our International business and accept somewhat slower growth in those markets as we focus on rebuilding our margins. Third, our outlook is balanced, reflecting our view of strengths, opportunities, and challenges. We'll continue focusing on our accelerators, which are working so well for us, including driving demand in our core business as well as trial of new products behind a strong innovation program, supported with increased U.S. advertising, sales promotions, and trade promotion spending. Our biggest challenge in near-term really is our International business as we've discussed today. Longer term, I feel very good about the prospect for this division. We have leading brands that are growing market shares and we have promising growth platforms, including Burt's Bees, which is now in a large number of countries. So when the foreign exchange headwinds subside and international economies improve, I do believe our International business will be in a solid position to benefit. And with that, let's open it up for your questions.
Operator: Thank you, Mr. Dorer. And we go first to Steve Powers with UBS.
Stephen R. Powers - UBS Securities LLC: Great. Thanks everybody. I guess, Benno and Steve, you've been calling for the elevated trade spending now for a few quarters and we've been a little slow to see it and I think that help explain the gross margin strength this quarter, which is clearly a good thing, but your guidance implies that you still expect to see it eventually. Can you talk about why we maybe haven't seen it as much as you had anticipated so far and why you're not more encouraged looking ahead to 2016?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: So, Steve, we actually have seen it. In fiscal 2015, we actually stepped up our total consumer demand-building investment and included in that was a step-up of the trade promotion spending. So, we're certainly leaning in and you've seen that in fiscal 2015. For fiscal 2016, particularly in the first half, we are going to continue to lean into the trade spending really to do two things for us. First to drive trial of our new products because we know if we can get trial we generally do well with repeat on those new products. And then second is just to support retail execution. So we have been stepping up the investment, we're going to do a bit more because it's working for us and the payouts look good. But, it is flowing through the P&L.
Stephen R. Powers - UBS Securities LLC: Okay. And then competitively, have you seen pretty much what you expected to see or is it's been little bit more benign than you expected?
Benno O. Dorer - Chief Executive Officer & Director: I would say competitively, Steve, we're seeing what we said we would see. We're certainly spending into our price increases in bleach and in Glad where we feel like that's justified. But, as far as competition is concerned, what we've said is – before is, that it's somewhat elevated as compared to historical levels, but I would say that it's somewhat elevated certainly not very elevated and that's playing out as we anticipated.
Stephen R. Powers - UBS Securities LLC: Okay. And then a question on free cash flow, which was obviously very strong this year again, and you finished the year below your target leverage ratio. So two questions on that. First, this year, the rate of CapEx spending relative to sales was quite low versus history. Do you see that as sustainable or do you see a step-up there as you look out whether 2016 or beyond? And then, with respect to the leverage ratio itself, is there any step-up embedded in guidance there and if you were to step it up, how would you prioritize between incremental repurchases bolt-on deal perhaps in the professional space, et cetera?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Okay. So let me start with the first question on capital expenditures. Yeah, historically, we've spent at the level of depreciation and amortization and I think that's still the right level for the company over the long-term. It has been a bit less than that over the last two years, as you pointed out, and that was a conscious decision on our part, after we had made some pretty significant investments to rebuild R&D facilities, put SAP into the Latin American business. But I think for a long-term modeling, certainly, how we think about it is CapEx should run in line with depreciation and amortization. Terms of the priorities for the use of cash, these remain unchanged. The number one goal is to accelerate top line growth profitability. And we think we've got plenty of cash to do that, but we'd like to do that organically. Second is, we're still committed to bolt-on acquisitions through our M&A efforts, it's been more challenging over the last couple of years, but we're cautiously optimistic we'll get some traction on that over the next year or two. The dividend has been very important to many of our investors and so we've been prioritizing returning cash through that dividend over the last couple of years and I think you'll see us continue to do that. And then if we've got excess cash that's pooling up, again as we've done for many years either through the dividend or share repurchases, we look to get it back. So no change to capital allocation for the company, it will continue to be disciplined and consistent with the priorities that we've outlined before.
Stephen R. Powers - UBS Securities LLC: Okay. Just to clarify, so no step-up embedded in guidance?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: I think what we've said for long time is again the long-term debt-to-EBITDA, we think 2 to 2.5 is in our sweet spot, not afraid to let that go down a little below the 2 to 2.5 to build a dry powder for M&A. But we're also not afraid to let it go a little bit above 2.5 for some period of time if we've got good opportunities. So I think you'll see that number moving around over time depending on the opportunities.
Stephen R. Powers - UBS Securities LLC: Great. Thank you.
Operator: We'll go now to Chris Ferrara with Wells Fargo.
Christopher Ferrara - Wells Fargo Securities LLC: Hey, good afternoon, guys.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Good afternoon, Chris.
Christopher Ferrara - Wells Fargo Securities LLC: So I guess back when you introduced the 2020 Strategy, the number you gave on promo spending, I think, it was 100 basis points incremental. And so, I guess following up a little bit. Is 100 basis points still the number that you guys expect based on the returns you've seen? And I guess how far of the way through that are you, if you're willing to quantify that at all?
Benno O. Dorer - Chief Executive Officer & Director: Yeah. Chris, good afternoon. So, first of all, what we've said is indeed we would like to spend 1 percentage point of sales over time behind our brands. We've also said that that spending could move around, certainly move around by quarter, but also move around by bucket. So, in some cases, it could be advertising, it could be sales promotion, it could be innovation supports, it could be a trade promotional pricing, really where we see the ROI, as you know we're pretty disciplined in how we measure ROI and how we spend our dollars depending on where we get the greatest return. That is still the right number. Originally, when we started this Strategy 2020 journey, we thought that we would step into that over time, and we certainly saw an opportunity over the last fiscal year to step into it faster, which we have in the back half. So, this 1 percentage point increase is still the right target. It's working, certainly as you've seen in top line growth, as you've seen in share growth, but it's also working given that, as you know, we're interested in profitable growth, so we see it flow through in the bottom line. So we're staying committed to it and it's still the right number.
Christopher Ferrara - Wells Fargo Securities LLC: Okay. Thanks. And I guess just pushing a little bit on the commodity piece or the gross margin piece. So, you're saying flat gross margins. I guess pricing is positive, which I'm guessing is inclusive of higher expected promo spending. Commodities are positive and you're not seeing by very much. I guess cost savings if you continue to do what you've been doing, it will be pretty good. I guess how bad will manufacturing and logistics be into fiscal 2016? And I guess could you talk about that in light of the fact that, it was only an 80 basis point drag and I say only, because it's been obviously much bigger than that. So, I guess, is that a trend as a follow up question to that and will it be a little more manageable going forward? Thanks.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Good question. As we said, we believe that our gross margins will be about flat, but you'll have some variability across the quarters. Couple of things. What's working for us, our cost savings programs continue to perform well. We're very pleased with the in-market execution of the price increases that we've taken, and we'll continue to look to take pricing, particularly in the international markets, which, as you know, has higher rates of inflation. I think – and commodities will likely be a tailwind certainly for the first half of the fiscal year is what we're modeling. The things that will mitigate a lot of this, to some extent, manufacturing and logistics was about 110 basis points for the full year this year and I think it's likely to continue to be a headwind for some time for us. FX is a big issue, because that puts a drag on the margins. And then finally as we indicated a few minutes ago, we are going to step-up our level of trade promotion investment behind these new products in retail execution. So, when you net all of those things together, we think gross margin will be about flat. And here is what's important to remember, we've got a good plan in place to drive EBIT margin expansion in fiscal 2016. So, we are targeting 25 bps to 50 bps of the EBIT margin expansion, and we feel like we're very much on track to deliver that for the full fiscal year.
Christopher Ferrara - Wells Fargo Securities LLC: Okay. Thanks guys.
Operator: We go now to Olivia Tong with Bank of America Merrill Lynch.
Olivia Tong - Bank of America Merrill Lynch: Great, thanks. First just on – a little bit on the guidance, because the operating expense comps were a lot tougher in the first half than the second half with the spending and the delta in incentive comps during the second half. So as you think about the cadence of earnings as fiscal 2016 progresses, would you expect to follow a similar pattern to last year or revert to something more in line with historicals?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: So you're asking me, what our first half outlook is versus our second half? So I'm going to reference back, we do provide a full year outlook, I think there's a couple of things, though, I will point out about the first half, just as a quick reminder. As you think of the sales growth in the first half, we do need to anniversary some pretty strong Charcoal growth numbers in the first quarter of year ago, so that's an important thing to keep an eye on. Second thing is, you might recall we have the Ebola and other concerns in the second quarter, so we're certainly going to have to lap those numbers and we're watching foreign currency pretty carefully. But beyond that, there's going to be puts and takes across the quarters and I think we're going to hold to the full year outlook at this point. And keep in mind, we're one month into the fiscal year so I think we need a little more time before we start providing more detailed color.
Olivia Tong - Bank of America Merrill Lynch: Okay. You had mentioned in your prepared remarks that you're managing price gaps in bags and bleach, can you talk a little bit more about that?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Yeah, certainly, we've taken increases obviously on bleach and Glad, both of which have gone fairly well for us. Although I would say that, historically, particularly on the Glad business, we have spent some of the money back and that's certainly what we're doing. And historically, more than 50% of the resin savings have been spent back in the market and we're doing that, we're spending probably a bit more. So I would say, on balance, both businesses are doing well from a market share standpoint. We're pleased with the execution, but not unexpectedly we're having to spend some of that back to manage the price gaps which are pretty consistent with what we would expect.
Benno O. Dorer - Chief Executive Officer & Director: And, Olivia, one thing I'd just add is more broadly that part of the strength that we're seeing on a top line, we certainly think is because we're very focused on delivering value to consumers, so this focus on value is playing out. And while value is more than just pricing, we're certainly always monitoring the price gap and we have good processes in place, making sure the price sensitivity is where it needs to be, and always following a price increase you want to be extra mindful of that and our remarks spoke to that.
Olivia Tong - Bank of America Merrill Lynch: Got it. Thanks. And if I could just follow up with one more question on Burt's Bees. I mean, it's been a great growth driver for you behind innovation. Is there opportunity to expand that to even more categories, perhaps even into Household, because it seems like you've branched out in terms of licensing the brand a little bit. So just curious on how you think about the opportunity there? Thanks much.
Benno O. Dorer - Chief Executive Officer & Director: Yeah. Thanks, Olivia. On Burt's Bees, like you said, really nice success with double-digit sales growth in fiscal year 2015, which has really been strong also compared to previous years as we stepped up investments. Three growth pillars. First of all, just continued growth opportunities on the base businesses, the categories that we're already in, in the U.S., in Canada, given that we're seeing opportunities that we have, for the first time, taken advantage now in fiscal 2015 through TV advertising to just grow awareness and trial on the base, and we think that there is a lot of space in this first growth pillar. Second growth pillar, getting into new categories. Third growth pillar, in international. As for new categories, yes, there still is a lot of opportunity and one thing that we will be doing in the front half that goes exactly after this opportunity is later on in the first half launch color lipsticks. So this is our first foray into lipsticks. It's a category where there is a sizable consumer need for natural products and we have a wonderful product out there, both in terms of product performance as well as in terms of packaging, that we think is highly differentiated and we have started to engage our customers in this opportunity and are getting real enthusiastic response. So that's the next one up where we feel like we can make a significant dent in the new category. But like I said, over time, there should be additional opportunities to get into new categories beyond this.
Operator: And we'll go now to Ali Dibadj with Bernstein Research.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Hey guys. I want to drill down a couple of things, two things. One is, so given the spending you're describing, it sounds like we should expect next year to be more of a volume-driven year than a pricing-driven year, at least net price, kind of like this quarter, is that fair?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Well, certainly given foreign currency headwinds, yeah, I think you're going to see volume obviously outstripping sales growth, just because of that.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: For organic I mean?
Benno O. Dorer - Chief Executive Officer & Director: Perhaps, Ali, with the exception of international of course where volumes may be somewhat under pressure and where we'll continue to do the best we can on pricing to offset the FX and cost inflation headwinds.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: So I want to bring that your gross margin guidance a little bit, because if it is going to be a little bit more volume-driven at least organically, and it reiterates some of the questions earlier. But if pricing is up, volume leverage you're going to get, commodities are a help, cost savings help, and you mentioned the offsets of that are effectively some trade spend, which is only going to be about half of commodities, you really only have FX as the last bucket. And you can make estimates and slice this either way, but it feels like you're talking about several hundred basis points of gross margin impact from FX. I don't know if that can be right. So within that FX, can you disaggregate that a little bit, give us some thoughts on why you think it's that bad. And particularly you mentioned in the release that you're believing there's going to be an Argentinean deval there, that's different than a lot of other companies we're hearing from. So a little bit more detail on that in particular, the offsets particularly around FX would be helpful. I can't get there the way you're describing it.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Okay. Well, I'll let you do the math. But the three things that we would point out are, number one, the fact that we are going to invest more in the business, that will come through trade spending and, in the short-term, that's depressive to gross margin, over the long-term as you drive trial and repeat, it's a good thing. Manufacturing logistics cost, which does impact us probably a little bit more than other companies because we tend to run heavier loads and longer lanes, so that'll be some pressure. And then, again, foreign currency, obviously, is going to continue to be a drag including Argentina. Let me spend a minute on your question regarding Argentina because I recognize that we're probably a bit unique in terms of putting this into the outlook, but we think it's prudent to put this into the outlook, and why is that? Well, number one, inflation rates as we all know in Argentina are running well ahead of a lot of other countries. Number two, we've not seen a devaluation in that country for quite some time, most of the leading economists are actually projecting that there will be a major devaluation sometime in the next year or so. And third, and this is a very important point, one of the leading indicators of a devaluation is the difference between the parallel rate and the official government rate and that has been widening pretty consistently in Argentina for some time. So for all of those reasons, we do think a devaluation in Argentina is likely. Obviously the timing and the amount is very difficult to call, but we wanted to call that out and put that in the outlook because we thought that was important for people to understand. And we'll need to get farther into the year and see how that actually plays out. But we do think there is a real risk for this company and probably for other companies in Argentina.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: You guys have been ahead of the game on Venezuela, so I guess we'll watch this one on Argentina. One last question on the Lifestyle segment, obviously a little bit tougher this quarter, Dressings and Sauces and Brita continues for a little bit. And as both an issue on top line and margins, trying to get a better sense of whether we should expect the historical positive margin mix you were getting from that category to come back or do you believe that you're still going to feel some pressure in that category top line and also margins will be pulling back?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: So I would say that when you look at that segment and you're looking at businesses like Brita and Burt's Bees and Food, they have very attractive margins, so there is no change to that. As those businesses deliver growth, that'll give us a bit of tailwind from a margin standpoint, so continue to feel good. The fact that the margin was down a bit in the fourth quarter, not concerned, we're spending a bit more behind Burt's Bees. We've got the lip color launch that Benno talked, that's going incredibly well. So it was a conscious decision in our part to invest a bit more in that business. And from a top line growth standpoint, I think we continue to feel very good about Burt's for the full year. It was double-digit grower. The Brita business has been a bit of a drag on the business, but I was very pleased to see in the fourth quarter we actually had some positive growth on Brita, and so, I think, some of the actions we're taking are starting to get traction. And again, Hidden Valley Ranch continues to perform well. But we did struggle a bit with the KC Masterpiece and that hurt us a bit in the quarter. So, on balance, feeling very good about the segment and the plans that we've got in place for those businesses.
Ali Dibadj - Sanford C. Bernstein & Co. LLC: Okay. Thanks very much.
Operator: And we'll go now to Joe Altobello with Raymond James.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Hey guys, good morning. Just want to clarify something you said earlier, Steve, regarding the increased promo to address price gaps in both bleach and trash bags. You've mentioned in the past that you did expect some volume impact from that. Has that been going as you expected? Or is this to address something that's gotten worse than your model had predicted?
Benno O. Dorer - Chief Executive Officer & Director: Yeah, Joe, this is Benno. Good afternoon.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Hi.
Benno O. Dorer - Chief Executive Officer & Director: So, I would say, if we take those in turn, in Laundry, that's gone about as expected, the category has actually done very well. And the category has done and has been at its best since we've started lapping the compaction a few years ago. So, feeling really good about that and I would call that about in line share continues to grow. So, that's as expected. Glad, I would call that's better than expected with strong sales growth, but also strong volume growth. And I would associate that with a really strong starts behind our Glad OdorShield Febreze with Gain scented trash bags that have helped us grow not just the dollar share, but also volume share in the last quarter. And we're certainly continued to invest in that, because we have a lot of momentum in that. And in Q1, we'll double down on innovation and we will launch, for the first time, Glad with Clorox trash bags and what that is, is a new premium trash bag with an antimicrobial agent embedded in the drawstring and we think that that'll continue to extend the string of nice successes we've had behind innovation in the categories. So, Glad certainly going better than expected and we're investing behind the momentum.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Got it. Okay. And then, in terms of the Cleaning segment you mentioned up 9% obviously much bigger than what we're looking for, most of that coming from wipes. Was there a merchandising activity that may have pulled forward some demand there? Or was that a real number essentially?
Benno O. Dorer - Chief Executive Officer & Director: Yeah, Joe, if you look at cleaning, the strength actually has been in all parts of the business certainly wipes has been up double-digits. And I would say that we're certainly investing in merchandising, but as we invest in merchandising it's behind innovations and it's to drive trial, because as you'll recall the household penetration in this category is still at/or about 50%, so I look at that as glass half-empty I guess and there is still an opportunity to keep driving impulse purchases and household penetration that way. But also Clorox cleanup sprays and toilet bowl cleaners and those are significant businesses, they were up double-digits in sales in the last quarter, so I feel like the Home Care strength is relatively broad-based and also fueled by a relatively strong innovation program. Bleach, we talked was up. Clorox 2 grew share significantly and that's been departure from previous trends and we're feeling good about that business. And also, our Professional business displayed really a solid growth. So, in a nutshell, I'm feeling good about the momentum across all of cleaning. We'll keep investing in profitable growth. Certainly results at this point are particularly strong and I would be cautious to say that we should expect a continuation of trends like it. But, I like where we are and I like where we're going.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Got you. And just one last one if I could in terms of splash Splash-Less Bleach. I mean, obviously it's a big margin driver for you guys. How big could that be if you look at crystals and the solid packs in terms of a percentage of the overall category? Thanks.
Benno O. Dorer - Chief Executive Officer & Director: Tough to quantify in percentages certainly, but, as you know, we are very focused in bleach not just to drive market share, but to drive quality of market share and what we mean by that is to keep shifting the business towards value-added segments. Splash-Less is the star right now. The scented bleach segment falls into that category as well. And this quarter, we will launch bleach packs and bleach crystals, a premium price innovation that gives consumers the performance of Clorox bleach in a more convenient form that's easy to dose. So, we feel like there is significant upside and the consumer is responding to those value-added innovations and we'll keep driving that.
Joseph Nicholas Altobello - Raymond James & Associates, Inc.: Great. Thanks, guys.
Operator: We go now to Bill Schmitz with Deutsche Bank.
Faiza Alwy - Deutsche Bank Securities, Inc.: Yes. Hi. This is Faiza calling in for Bill. So, I just had a couple of questions. One, it sounds like you're moving some dollars from the A&P line to trade spending. So, one, is that fair? And two, is that because you are reducing spending in international markets or is that across the globe and is that because you're finding that the ROI is better on trade spending than on A&P?
Benno O. Dorer - Chief Executive Officer & Director: Yeah. What we said is that we will spend an additional percentage point of sales and we've said that those dollars will move around, so you will always see shifts between quarters. Within advertising and sales promotion, if you look at advertising and sales promotion is actually up. So, we are spending incrementally in trade, but that spending is incremental to advertising and sales promotion and not replacement to advertising and sales promotion. What we are certainly doing within advertising and sales promotion is shift from international, where the returns in some countries right now are clearly lower and we're not interested in investing in not-profitable volume. And those dollars go into the U.S. where we are seeing a nice return and where you see that deliver strong growth in businesses like Burt's Bees, but also Home Care. So, trade is incremental right now to advertising sales promotion, that's probably going to be here to stay for a little while at the somewhat elevated basis, but we're also continuing to be very committed to advertising and sales promotion spend as is evident in the fiscal year results, and we like the return in that area as well.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay. But it sounds like for next year to make the guidance work with the flat gross margin and S&A is slightly below 14 points, it sounds like the ratio is going to go down next year for fiscal 2016?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Faiza, again what we would really focus on is the fact that we do have a plan to get to the 25 bps to 50 bps of EBIT margin expansion. A good chunk of that is going to come from lower S&A costs in part because of the productivity efforts that we put in place in the company and in part because we expect to normalize our incentive compensation cost, so I think that'll be the biggest single contributor. As a company, as Benno indicated, we're going to invest and invest a bit more heavily in consumer demand-building investment, but the mix across the quarters can move between advertising as well as trade.
Faiza Alwy - Deutsche Bank Securities, Inc.: Okay, great. And then just wanted to ask again about wipes. So I know the sell-through data has been really good. Can you just talk a little bit more about – I know there has been a lot of innovation there also, but how sustainable, how should we think about the wipes category going forward?
Benno O. Dorer - Chief Executive Officer & Director: So the wipes business has been a growth driver for us for a while and I'm confident that it can and will be going forward. And the way we're going to drive growth is, one, a focus on delivering superior value to the consumer, we have a consumer-preferred product and we're making clear to the consumer that they are aware of this value superiority and we're certainly investing very strongly in advertising sales promotion and also in trade promotion like I said. And then, two, innovation and one innovation that's done particularly well for us over the last six months is the wipes with the micro scrubbers for particularly tough tasks and we're certainly driving that innovation through spending that creates awareness and trial. At the end of the day, while wipes is on trend, we've talked to many of you in the past about consumers moving towards cleaning in the flow occasions that don't disrupt the flow of the day and wipes are the preferred product form to meet this consumer need, so there is a tremendous consumer tailwind. And with the market share of back at about 50%, we're really poised to capitalize on that trend. So, we see tremendous opportunities for continued growth in this segment.
Faiza Alwy - Deutsche Bank Securities, Inc.: Great. Thank you very much.
Operator: And we'll go now to Jason English with Goldman Sachs.
Jason M. English - Goldman Sachs & Co.: Hey, good afternoon, folks. Thank you for the question. I want to follow up on the line of questioning around gross margins first, and I apologize if you answered this, I'm trying to multi-task a little bit. But to Ali's question, we get to similar math. You tried to bridge the assumptions and there is a hole of around 200 basis points or so in your gross margin guidance. Is that really the magnitude of FX pressure you're expecting? Or is it maybe the commodity assumption, commodities clearly inflected into a tailwind this quarter. What are you assuming on a go-forward and why shouldn't we expect that tailwind to continue to build?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: So – I don't know if I can bridge all the way, although I will say two points of gross margin drag associated with FX seems a bit large, so let me try to clarify on that. Second, there may be a difference in commodity assumptions again, I don't know exactly how you're modeling the math, but I can tell you that we do expect a modest commodity tailwind certainly in the first half of the fiscal year, but we are expecting energy prices to begin strengthening in the second half of our fiscal year and that we'll start to mitigate some of that tailwind. So, again, we're expecting a very modest tailwind from commodities at this point and maybe that's one of the differences.
Jason M. English - Goldman Sachs & Co.: And that assumption on energy is that just because it seems like a prudent assumption or are you seeing anything that would lead you to believe that at least in terms of derivative products like resin, they will indeed be firming?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: You know when you're dealing with things like resin, it's always a factor of obviously supply and demand, which is the biggest single determinant, and, in that respect, it's reasonably tight out there. And then of course energy prices, which good people can debate it. But I think what we have read and what we have heard is, probably next calendar year, you'll start to see those markets come into balance a little bit more. As a result, that should push back up on energy prices somewhat, so that plus a tightening supply/demand environment is a reason we believe that the markets will firm. We also saw price increase in resin, actually in May of this year, so we've even seen the early signs that the market's still firming up. To be clear, still down versus year ago, but starting to firm up a bit.
Jason M. English - Goldman Sachs & Co.: Thank you. That's helpful. And now, a quick housekeeping question. The volume strength in Cleaning this quarter was very pronounced, certainly much more than what we would expect to see with some of the scanner data. So was this a matter of just shipments maybe tracking ahead of consumption. Is there some destock risk to be wary of as we head into next year or was there something that happened outside of scan channels? Like, I know you lost a customer over a year ago, did you get that back, or are there any other factors that we should be considering there?
Benno O. Dorer - Chief Executive Officer & Director: I would suggest, Jason, the one thing you probably can't see through scanner data is our Professional Products business because that's obviously all non-retail. So the strength in that business I think probably helps drive some of the volume strength in the quarter and you're just not able to pick that up.
Jason M. English - Goldman Sachs & Co.: All right. That sounds good then. It's – you're not worried about any sort of shipments ahead of consumption or excess inventory to run-off then.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: No concerns based on what we've been able to see.
Jason M. English - Goldman Sachs & Co.: Good stuff. Thanks. Thanks guys.
Benno O. Dorer - Chief Executive Officer & Director: Jason, the one area certainly, and we covered this, but I want to make sure that you guys all register that, certainly is Charcoal, where we did have a very strong Q1 of last fiscal year and where, in contrast, the weather this year, Memorial Day and beyond has been mixed, so there is a chance for lower shipments in Q1 this year, but in cleaning, it's been a clean quarter, no pun intended.
Jason M. English - Goldman Sachs & Co.: Right on. Well, let's all hope for good weather ahead. Thanks guys. I'll pass it on.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Thanks, Jason.
Operator: And we go now to Erin Lash with Morningstar.
Erin Lash - Morningstar Research: Thank you for taking the question. I just wanted to talk about the Cat Litter category for a second. I think you said that the new product innovation that you had brought to market last August obviously continues to struggle or maybe hasn't turned the category from your perspective around as much as you had hoped. And I guess, where do you see or what is your strategic intent to, I guess, drive improving sales and market share? I know you said volumes were up slightly I think in the quarter, but how do you turn around the sales and market share? Is it more just the competitive landscape or are there factors within your control that you feel you can adjust to drive improving performance in that category?
Benno O. Dorer - Chief Executive Officer & Director: Yeah, Erin, thanks for that. So that's a business that we like, it's on trend and category growth is strong. It's a business where historically we've done very well. But, clearly, at this point, it's one of the two businesses that's not growing share. Frankly, if you look at the last four weeks to five weeks share period, it's the only business that's not growing share, so not happy where it is. And my message on the business really is unchanged compared to what we said last quarter. We're not after buying share back, we want to earn share back and what that requires is strong innovation. The competitive landscape in this category has changed, it is a very competitive category and it does require more and more frequent innovation in the category. We're feeling good about Lightweight litter which, as you noted, was launched last year, and that's growing nicely, and we're investing behind it. But it does require more significant innovation and what we've said before is that that innovation will come in the back half of this fiscal year, and that's exactly what will happen. So, I do think that it will take until the back half until we will see shares materially improve but I'm confident that that's going to happen based on what I know about this innovation, and we'll certainly let you know more once we can talk about it in one of the next quarter earnings releases.
Erin Lash - Morningstar Research: Thank you. That's helpful. And then I just had one follow up on the International business. Obviously, growth has slowed around the world, and you've highlighted that. Clorox has also been very outspoken that they're only going to play in markets where they feel they have a competitive edge. And so, I guess as you look across your international landscape, do you feel that there are opportunities to maybe rationalize where you're playing or is it more just a factor of macro growth coming back and then you're positioned to benefit? Thank you.
Benno O. Dorer - Chief Executive Officer & Director: Yeah, Erin, it's the latter. We're overall happy with our portfolio in the U.S. and beyond. To International, sales grew 11% on a currency neutral basis in the last quarter. And in fact, we're gaining market share in International, so that should tell you that we have strength, we have strong brands that people like, but because of the macroeconomics that strength is not translating into top line that we can count on and bottom line. Fiscal year 2016 is going to be another tough year in international, again driven by macros, in particular of course FX as we expect three points of headwinds, but in the long run you'd have to expect that the fundamentals, the macros improve. And then, I'm confident that we're poised to benefit from that.
Erin Lash - Morningstar Research: Thank you. That's very helpful.
Operator: And we go now to Lauren Lieberman with Barclays.
Lauren Rae Lieberman - Barclays Capital, Inc.: Thanks. Just two quick things. One was the follow up on the Professional Products comments. Are those contract wins, so the increased volume in this quarter should be sustainable going forward or is it sell-in for a new relationship?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: I think it's broad-based. We're seeing our foodservice business has actually done quite well. The Jan/San business continues to perform well. And we're continuing to expand in the healthcare, just bringing on new items into distribution, but just picking up new contracts as well.
Benno O. Dorer - Chief Executive Officer & Director: Yeah, Lauren, one thing that is sometimes overlooked is that, in our Professional business, e-commerce actually is a significant growth driver as people buy in particular through office supplies customers. So there's nothing unusual in the Professional segments, we're seeing good strength across all segments as Steve noted. Certainly also as we've said earlier in the call, Ebola is something that we're anniversarying later this fall and that's a watch-out as we think about the Professional business for this fiscal year, certainly in the front half. But in general, what we've said is that the Professional business is a growth driver for us as a company and we feel good about the progress and the prospects.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Great. And then the second thing was just the other income in the quarter really for the year, just I know it's hard, but what do you think is a best way to think about that for next year?
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Yeah. Well, keep in mind, there's some one-time items that flow through fiscal 2015, things like the sale of the low-income housing partnership assets in the quarter. So to the extent that you're seeing some one-time benefits come through, we would not project those forward.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. So, best to – I mean, traditionally I model that line kind of flat, but it can – that can yield some pretty significant differences because that's not the way it goes, so.
Stephen M. Robb - Chief Financial Officer & Executive Vice President: Yeah, I think flat is probably not a bad estimate, again, because the items that occurred in the first quarter of fiscal 2015 where we made some changes, but also in the fourth quarter, those things are going to anniversary out.
Lauren Rae Lieberman - Barclays Capital, Inc.: Okay. Thank you so much.
Operator: This concludes the question-and-answer session. Mr. Dorer, I would now turn the conference back to you.
Benno O. Dorer - Chief Executive Officer & Director: Yeah. Thank you. Let me sum this up. We're pleased to have delivered a strong fourth quarter and fiscal year 2015 financial performance, reflecting our efforts to accelerate growth profitably. Our business is fundamentally healthy and our outlook presents a balanced view of our strengths and the challenges and opportunities we see in the year ahead for our business. So, thank you.
Operator: This concludes our conference. Thank you for your participation.